Operator: Ladies and gentlemen, thank you for standing by. My name is Brent, and I will be your conference operator today. At this time, I would like to welcome everyone to the eBay Second Quarter 2022 Earnings Call. [Operator Instructions] Thank you. It's now my pleasure to turn today's call over to Mr. Joe Billante, Vice President of Investor Relations. Sir, please go ahead.
Joe Billante: Good afternoon. Thank you for joining us and welcome to eBay's earnings release conference call for the second quarter of 2022. Joining me today on the call are Jamie Iannone, our Chief Executive Officer; and Steve Priest, our Chief Financial Officer. We're providing a slide presentation to accompany Jamie's and Steve's commentary during the call, which is available through the Investor Relations section of the eBay website at investors.ebayinc.com. Before we begin, I'd like to remind you that during the course of this conference call, we will discuss some non-GAAP measures related to our performance. You can find the reconciliation of these measures to the nearest comparable GAAP measures in the slide presentation accompanying this conference call. Additionally, all revenue and GMV growth rates mentioned in Jamie's and Steve's remarks represent FX-neutral year-over-year comparisons, unless they indicate otherwise. In this conference call, management will make forward-looking statements, including, without limitation, statements regarding our future performance and expected financial results. These forward-looking statements involve known and unknown risks and uncertainties, and our actual results may differ materially from our forecast for a variety of reasons. You can find more information about risks, uncertainties and other factors that could affect our operating results in our most recent periodic reports on Form 10-K and Form 10-Q and our earnings release from earlier today. You should not rely on any forward-looking statements. All information in this presentation is as of August 3, 2022, and we do not intend and undertake no duty to update this information. With that, let me turn it over to Jamie.
Jamie Iannone: Thanks, Joe. Good afternoon, everyone, and thank you for joining us. Earlier this year, during our Investor Day, we updated you on the progress of our Tech-Led Reimagination and outlined our vision for the future. I'm really excited about the pace at which our talented teams are delivering against that plan. Our focus category playbook is working. Enthusiast buyers are spending more, and advertising and payments continue to grow. This quarter, we launched several key innovations in line with our long-term objectives. These ongoing efforts have put eBay in a stronger position today than it was when we entered the pandemic. I'm pleased to say that during the second quarter, we delivered better than expected financial results across the board. We delivered over $18.5 billion in GMV and over $2.4 billion in revenue. We continue to invest in marketing and product while achieving close to 29% operating margin, and our non-GAAP EPS was $0.99. Our focus category payments and advertising initiatives helped offset the impact of the war in Ukraine, rising inflation and a more uncertain macro environment. Looking ahead, we remain on track to deliver on our full year commitments, and we'll continue to invest and manage towards sustainable long-term growth. Later in the call, Steve will go into more detail about our outlook. One of the most important pillars of our long-term plan is our focus category strategy. Investments in trust, product experience and marketing are increasing customer satisfaction, leading to faster volume growth. Last quarter, excluding trading cards, focus category GMV grew 9 points faster than the rest of the platform. Trading cards are lower than last year's [stimulus fuelled] (ph) results, but volume remains robust at more than double prepandemic levels. We are seeing significant outperformance in focus categories globally. Although the US is higher than international. The primary reasons for the difference are the timing of launches and category mix by market. The markets where it's implemented these changes, customer satisfaction remains at or near best-in-class levels. The vast majority of our enthusiast buyer shop in focus categories and their spending levels remain above $3,000 per year. We continue to see cross-category shopping activity consistent with data we shared during Investor Day in March. One of our largest focus categories is parts and accessories, which is one of the highest buyer NPS scores on the platform. We know from experience how crucial trust is, and fitment is one of the best enablers of trust. To ensure every buyer finds the perfect part to fit their vehicle, we are enhancing all of the AI that powers search, merchandising and advertising. In addition, we have rolled out more ways for P&A enthusiasts to discover the wide range of inventory on eBay. In our international markets, we have added over 100,000 fitment-based browse pages last quarter alone. We also expanded our supply of OEM and certified green parts. To drive demand to our huge supply of P&A inventory, we continue to invest in full-funnel marketing. Initial consideration is showing encouraging early signs, and we see further opportunity to attract more enthusiasts. Across other focus categories, we took several steps over the past quarter to expand coverage. To enhance our leadership position in trading cards, we expanded authentication services to a wider range of graded items. In addition, we rolled out a new feature where enthusiasts can now use the popular My Collections tool to track a broader set of inventory, including sports trading cards. In eBay Refurbished, we added more trusted sellers and expanded categories in the program. These included headphones, audio, gaming consoles and smart home devices. Refurbished products are growing faster than new products in the same category, in part due to increased customer satisfaction. And in sneakers, we added more products to our catalog, which now includes the top 40 brands across our 4 largest markets. This expansion reduces friction in selling and buying experiences. We also started authenticating handbags in Germany and handbag accessories such as wallets in the U.S. The next focus category where we are innovating and changing the customer experience is jewelry. Recently, we announced authentication for eligible new and preowned jewelry items over $500. We are partnering with GIA, the Gemological Institute of America, who bring 90 years of experience to our partnership. Like other focus categories, we will improve the product experience, increase customer satisfaction and change how we market to jewelry enthusiasts over time. I am pleased with the near-term progress in focus categories, and we remain on track to expand coverage and drive growth back towards market rates. Equally important is evolving our capabilities to attract the next generation of enthusiast buyers. In Q2, we took several steps toward that objective. In June, we marked an important milestone with the opening of the eBay Vault. This state-of-the-art facility enables a new format for sellers and buyers to trade and build their collections in real time. The Vault is initially accepting graded authenticated trading cards above $500 and will expand to more products over time. Sellers are taking advantage of an initial year of free storage and no selling fees for Vault sales. This innovation will help us transform many product categories. One reason that we're excited to launch the Vault is because it can enable real-time transactions for physical or digital goods. This intersection is nascent, the one that collectible enthusiasts are increasingly exploring. This is part of the rationale behind our second quarter acquisition of KnownOrigin. KnownOrigin is an NFT platform that enables artists and collectors to create, buy and resell NFTs via blockchain-supported transactions. Their team is highly talented and has extensive technical experience in this rapidly evolving space. They were one of the early pioneers of NFTs and are a perfect fit to make eBay the destination to collect and trade. In the second quarter, we also began to experiment with Live Commerce. Although Western market adoption of live shopping remains low, we are optimizing our user experience ahead of this emerging trend. Early pilots have seen users engage, on average, for 15 minutes at a time with approximately 1/4 of them interacting directly with the event. We will continue to optimize this capability in future quarters. The Vault, NFTs and Live Commerce were all long-term strategic opportunities that we mentioned at Investor Day, and I'm pleased that in a few short months, we are already making progress in these areas. Customers are also seeing rapid improvements in payments capabilities where we continue to build out new services for sellers and buyers. For example, we rolled out additional forms of payment popular with German buyers, especially Gen Z. Through our partnership with Klarna, consumers can now pay upon invoice or in installments. We also expanded our Buyer FX program, which allows eBay buyers to purchase in the currency of their choice. Recently, we expanded this global service from 8 currencies to over 30 currencies. To date, we have seen over 60% adoption on related transactions. These new services are reducing transactional friction for sellers and buyers while delivering incremental revenue to eBay. Advertising is also driving growth through innovation. Despite the macro environment, ad rates and adoption continue to grow due to the high return on ad spend that seller's experience on eBay. In Q2, our ads business accelerated faster than volume and delivered revenue that was nearly 1.5% of GMV. Promoted Listings drove first-party ad revenue to $232 million, up 6%. This was 20 points faster than GMV growth. Our largest product, Standard Promoted Listings, grew in the quarter due to conversion optimization and pricing changes. Our 3 newer advertising products that we launched last year grew almost 30% versus Q1. The largest contributor was Promoted Listings Advanced, which saw increased seller adoption and exposure. Our advertising business remains on track with the long-term goals we outlined at Investor Day, and we anticipate that Promoted Listings will return to double-digit growth in the coming quarters. ESG is a major focus for the eBay team. And during the quarter, we made steady progress on our commitments in this space. Recommerce continues to be a huge volume driver on eBay. As we've shared before, non-new and season inventory is driving the vast majority of volume on the platform. In particular, demand for refurbished and used goods is growing in many categories. And we are well positioned to hit our long-term recommerce goals. eBay has a tremendous impact on the economy beyond our own results. As mentioned in our most recent impact report, in the U.S. alone, eBay supports more than 1 million jobs. The vast majority of these jobs come from small and micro business entrepreneurs selling on the platform. Another meaningful economic impact comes from the generosity of our community. eBay for Charity allows sellers and buyers to make a positive difference in the world. During the quarter, eBay for Charity raised nearly $56 million, up 52% year-over-year. And Q2 marked the Final Power of One Charity Auction with Warren Buffett, raising over $19 million. Over almost two decades, these auctions have raised more than $53 million for GLIDE, a nationally recognized center for equity. I'm truly inspired by the continued generosity powered by our marketplace. Finally, the team and I are honored to have received multiple prestigious awards this quarter. We were recognized as one of LinkedIn's top companies in retail, and we received 3 Women's Choice Awards in the consumer Internet category, Best companies for Diversity, Best Companies for Women and Best Companies for Millennials. I am proud to be in a team that focuses so heavily on the impact we are making in the lives of our employees, our customers and our communities. In closing, Q2 was a strong quarter for eBay. We delivered better-than-expected short-term results while marking several important milestones towards our long-term vision. GMV, revenue and EPS for Q2 all exceeded consensus estimates. Focus categories outperformed the rest of the marketplace by nine points, excluding trading cars. We maintained high NPS scores from enthusiast buyers who spend more per buyer. Coverage extended to more refurbished products and new categories like Joy. The eBay Vault, a game-changing capability that will enable the future of collecting. We acquired KnownOrigin to accelerate our connections between physical and digital. Our payments team scaled our Buyer FX capabilities, further simplifying frost currency transactions and rolled out Klarna to German customers. Our advertising business accelerated faster than volume, putting Promoted Listings on a trajectory to a double-digit growth in the coming quarters. And eBay for Charity raised nearly $56 million, including a record-breaking Power of One Auction with Warren Buffett. Before I hand over to Steve, I want to thank our amazing team who has continued to work hard innovating and exceptional experience for our customers around the world. They are delivering high-quality products and technologies that are translating into higher NPS scores and driving long-term growth for the company. To our sellers, thank you for continuing to partner with us. Your feedback is extremely valuable and helps us create trusted, reliable and frictionless experiences. With that, I'll turn the call over to Steve to provide more details on our financial performance. Steve, over to you.
Stephen Priest: Thank you, Jamie, and thank you all for joining us today. I'll begin our discussion with highlights from the second quarter on Slide 10 of our earnings presentation. Next, I'll review our key operating and financial metrics in greater detail. Finally, I'll show our outlook for the remainder of the year and add some closing thoughts before we begin Q&A. As usual, my comments will reflect year-over-year comparisons on an FX-neutral basis, unless I announce otherwise. Overall, I'm incredibly proud of our teams for delivering strong results amid some of the most challenging macroeconomic conditions in recent memory. Our Q2 GMV revenue and non-GAAP EPS each exceeded expectations and top the high end of our guidance range. Our second quarter revenue was down 6% to over $2.4 billion, outpacing volume growth by approximately 8 points due to contributions from payments and advertising. Non-GAAP operating margin was 28.7%, down nearly 4 points sequentially due to volume deleverage and the seasonality of marketing spend. We delivered non-GAAP earnings of $0.99 per share, in line with the prior year. And we generated $466 million of free cash flow and returned over $1.4 billion to shareholders to share repurchases and dividends in the quarter. Our strong Q2 results are a testament to the focus and dedication of our employees and the durability of our marketplace and financial model during periods of macro uncertainty. Let's take a closer look at the drivers of our financial performance in Q2. Gross merchandise volume declined 14% as we like the elevated mobility restrictions in 2021. We also contended with a more challenging macro environment this year due to the conflict in Ukraine, ongoing supply chain challenges and rising inflation across our major markets. In spite of these headwinds, we saw volumes remain relatively stable as we progressed through the quarter, with GMV growing 5% versus our pre-COVID baseline in Q2 of 2019. We continue to scale our investments in long-term growth initiatives and observe proof points demonstrating our strategy is working. Excluding trading cards, focus categories outpaced the remainder of our marketplace by 9 points driven by the continued evolution of the product experience on eBay and growing awareness of our seller's unique high-quality inventory. Moving to active buyers. Trailing 12-month active buyers were $138 million during the quarter, down roughly $4 million sequentially due to the lapping of mobility restrictions during 2021. We announced the wind down of our Turkey business in June, which contributed nearly 4 million active buyers in Q1. These buyers would gradually roll off our total count over the next few quarters. Excluding Turkey, active buyers would have been 135 million in Q2. Importantly, disclosure will not materially impact our financials moving forward. Consumed gas buyers made up approximately $17 million of our active buyers in Q2. As we noted at Investor Day, we expected some movement between the enthusiasts and mid-value buyers in 2022 due to the lapping of elevated spending from mobility restrictions and stimulus last year. Notably, over 99% of last quarter's enthusiasts continue to be active buyers on eBay, of those buyers migrating downward, the vast majority remains in our mid-value group, only between $200 and $800 per year. And importantly, average spend among enthusiast buyers grew sequentially remains over $3,000 annually, up double digits versus 2019, demonstrating the robust demand among this lower group of eBay shoppers. Looking at our business on a geographic basis. U.S. GMV grew 15% compared to Q2 of 2019, while international GMV was down 3% over the same time period. The growth differential between our U.S. and international markets was exacerbated by recent macro and geopolitical developments as our European markets have been more meaningfully impacted given their proximity to Ukraine. The U.S. also benefited from stronger economic growth, leading up to the Ukraine conflict, while our international markets were more exposed to the supply chain challenges impacting cross-border trade. Encouragingly, our focus categories are outperforming the rest of the marketplace on a global basis, demonstrating our innovation playbook is working across regions, although the level of outperformance is slightly higher in the U.S. due to the timing of launches and the relative category mix. Turning to revenue. Net revenue in Q2 was over $2.4 billion, down 6% due to the lapping of mobility restrictions last year and the intensity to macro headwinds over the last few months. However, revenue at past GMV growth of roughly eight points due to positive contributions from payments and advertising. As a result, our transaction take rate increased to 12.4% versus 12.1% in Q1. Total advertising revenue grew 4%, while first-party ads grew 6%, outpacing volume by approximately 20 points. This represents an acceleration versus Q1 driven by continued optimization of our standard Promoted Listings product, the growing scale, adoption and sophistication of our newer ad products and healthy returns on ad spend across our portfolio. We are extremely pleased with the momentum in our ads business and expect Promoted Listings revenue to return to double-digit growth in the coming quarters. Managed payments contributed roughly 4 points of revenue growth during the quarter. Payments revenue remained comfortably above a $2 billion run rate despite recent volume pressure as new services like buyer and seller FX are scaled in line with expectations. These new payment services remain on track to achieve a $300 million revenue target we discussed at our Investor Day. Moving to profitability. Our non-GAAP operating margin was approximately 28.7% in Q2, down roughly four points sequentially, primarily driven by top line deleverage and the advancement of our full federal marketing strategy. We also continue to invest in product innovation, supporting our focus categories and horizontal marketplace improvements. Our G&A expense includes exit costs related to the wind down of our Turkey business, which offset lower employee-related costs in the quarter. We delivered $0.99 of non-GAAP EPS in Q2, which was in line with our prior year and above our outlook for the quarter. The lapping of COVID-driven volume tailwinds in the prior year was offset by cost efficiencies, better-than-expected volume and the net benefit of share repurchase during the quarter. A portion of the EPS upside was driven by the timing of our expense run. We continue to invest in our long-term plan despite the short-term macro uncertainty. We generated a GAAP loss per share of $0.96 primarily driven by losses in our investment portfolio due to ongoing market volatility. Turning to capital allocation. We generated $466 million of free cash flow in Q2 by nearly 50% due to the lapping of onetime working capital benefits associated with the managed payments migration and lower volume versus the prior year. We ended the quarter with cash and non-equity investments of $4.5 billion, along with gross debt of $7.7 billion after redeeming $605 million of notes during the second quarter. We repurchased $1.3 billion of shares at an average price of approximately $51 during Q2 and have more than $3.4 billion remaining under our current authorization. We also paid a quarterly cash dividend of $121 million in June or $0.22 per share. Our repurchase have reduced outstanding shares by roughly $45 million over the last 2 quarters net of dilution. Despite the dynamic macro environment, we remain balanced and disciplined in our approach to capital allocation. For launch of the eBay vault, our investments in Funko, the acquisition of KnownOrigin and our PSA authentication partnership are a few recent examples of our build by partner framework, helping us to accomplish strategic objectives. Our investment portfolio is detailed on Slide 20. Equity investment stakes were valued at approximately $4 billion at the end of Q2. We sold roughly $370 million in aggregate of Kakao Bank and Adyen shares during the second quarter, while market volatility impacted the value of our remaining stake. We'll continue to manage our investment portfolio with an intent of maximizing shareholder value. You'll see additional detail on our share sales and remaining investment holdings in our 10-Q. Moving on to our outlook. Our business has remained resilient in recent months despite escalating macro headwinds, but the operating environment remains dynamic and difficult to predict. The spread of COVID variants, persistent supply chain issues, elevated inflation and the impact of rising interest rates will likely wear on consumers' discussional spend for some time. The duration and severity of the economic impact from the Ukraine war and related sanctions are even more challenging to anticipate. Given our outperformance in Q2, relatively stable volume trends as we progress through the quarter. We are maintaining our outlook for an FX-neutral GMV decline between 12% and 10% for the full year. While we land in that range, we'll likely be determined by whether the current macro headwinds of study, intensify or subside. Additionally, recent currency movements relate to an incremental FX headwind of roughly $500 million to 2022 GMV versus our prior outlook. On a spot basis, our guidance translates to full year GMV between $72.7 million to $74.7 billion. Our hedging plan should help us mitigate the incremental FX impact to revenue, operating income and EPS. Our revenue outlook for 2022 remains unchanged of between $9.6 billion and $9.9 billion, represents an FX-neutral decline of between 6% and 3% or 6 or 7 points faster than volume growth. We also maintain our non-GAAP operating margin target of between 29% and 30% for the full year. We now expect non-GAAP EPS of between $3.95 and $4.10, raising the low end of our prior range by $0.05. Looking to Q3 guidance. We actually generate between $17 billion and $17.6 billion of GMV, representing an FX-neutral decline of between 9% and 6%. We anticipate revenue between $2.29 billion and $2.37 billion or a decline of between 5% and 2%. We forecast a non-GAAP operating margin of between 27% and 28% as we continue to invest in our marketing and product experience initiatives to support focus categories and horizontal marketplace innovation. We expect to deliver non-GAAP earnings per share of between $0.89 and $0.95, representing growth of negative 1% and positive 6%. In closing, Q2 was a strong quarter for eBay. We exceeded expectations across all key financial metrics despite facing challenging macro headwinds in recent months. Our fortress balance sheet and durable financial model put us in a fortunate position to continue investing in long-term growth while delivering robust earnings and free cash flow amidst an uncertain macro environment. eBay's track record of shareholder-friendly capital allocation continued as we returned over $1.4 billion through share repurchases and cash dividends this quarter. Our advertising and payments teams continue to innovate with new services and capabilities, which are driving revenue in excess of volume growth at healthy incremental margins. And I'm particularly proud of our team's focus and financial discipline, which has enabled us to remain on track to reach our ambitious impact goals and climate reduction targets during this period of economic uncertainty. Fostering sustainable business practices and enabling equitable inclusive entrepreneurship have never been more important than they are today. Finally, I want to express my sincere gratitude to our dedicated eBay employees to continuously striving to deliver a better future for our customers, our global community and our planet. With that, Jamie and I will now take your questions.
Operator: [Operator Instructions] Your first question is from the line of Ross Sandler with Barclays. Your line is open.
Ross Sandler: Just maybe start with the macro. I guess this one is for Steve. So your full year GMV growth, ex FX, hasn't changed from the last quarterly call despite what looks like fairly meaningful deterioration for consumers in Germany and U.K. from what we heard from a lot of other companies. So maybe could you just help us with what you saw in terms of linearity throughout 2Q? What you're seeing thus far in 3Q? What you baked into the second half GMV growth? And then a question we often get from folks is, how much of your GMV is discretionary versus what would be considered maybe nondiscretionary? Any help with that would be great.
Stephen Priest: Yes. I'll take that one. First of all, I wanted to say how pleased I am with both the results and the execution of eBay during the second quarter, as I stated in the prepared comments. As you would imagine, as we look to the rest of the year, we've been very thoughtful about the guide and obviously take into account of the current environment. As I think about it, there's 3 significant considerations that we've taken into account and expect to continue throughout the rest of 2022. The first being the impact of the war in Ukraine, which has a disproportionate impact on the European business because of the proximity to Ukraine and the pressure on energy prices. Secondly, the supply chain constraints, which are having an impact on our cross-border trade. And again, we expect those to prevail through the rest of the year. And then thirdly, just really thinking about the broader macro backdrop where we're seeing elevated inflation, rising interest rates, which are having associated impacts on consumer discretionary spend that are all putting pressure. As we consider that, we've put a broader range than we ordinarily would do in the second half of the year to take account of those three significant items. And ultimately, we land within our guidance range will be determined how that macro environment and those macro headwinds evolve over the second half, whether they hold steady, whether they intensify or indeed whether they subside. With regards to the specific areas versus GMV, we obviously have a very global and significant business across the globe. We don't have grocery. We don’t have no material FMCG, and so there's a broad-based of countries. So I wouldn't point to any specific area that would stand out for me. Perhaps, Jamie, if you've got anything that you'd like to add.
Jamie Iannone: Yes. I think it's hard to differentiate discretionary versus nondiscretionary. I think if you go back to Investor Day, you'll see that we had 5 -- we have five big areas over $10 billion. So obviously, when times are tough, people trade down, and that's where kind of our Refurb is helping out, et cetera. So hard to kind of pull that out. But I would say, as Steve said, it's -- we don't have grocery or material FMCG on the site.
Operator: Your next question is from the line of Nikhil Devnani with Bernstein. Your line is open.
Nikhil Devnani: Nice to see the Q2 margin beat. Can you just talk about what got better in the quarter versus your expectations? Was there any delay of certain investments that are now taking place in the third quarter? Or did you realize incremental efficiency gains there? And then as a second question, how are you thinking about focus category growth going forward relative to the rest of the GMV base?
Stephen Priest: Nikhil, I'll pick up the first part, and then Jamie perhaps can pick up the second. With regard to the second quarter, as you would anticipate, we continue to lean in in terms of operational efficiencies in the short term while we do continue to invest for the long term to drive that long-term sustainable growth that we talked about at our investor event back in March. Candidly, it's really an effect of timing. We had expected some incremental ramp of expenditure as we went through with those investments in the second quarter. Some of that will ramp in the third quarter. And that's why you've seen us hold our full year margin guidance intact for the full year. Jamie, perhaps you'd like to cover the focus categories question.
Jamie Iannone: Yes. Look, we're pleased with the outperformance of focus categories being 9 points above the rest of the business. Importantly, we're continuing to invest. We rolled out jewelry this quarter with a partnership with GIA for jewelry over $500. We expanded what we're doing in handbags, launching that in Germany, bringing accessories, things like wallets in the U.S., expanded Refurb to additional categories, headphones audio, gaming console, smart home devices. So we're continuing to invest in our focus categories. As I've always said, it's not a won and done. I mean if you think about the launch of vault and the incremental authentication that we've launched in collectibles, that was a category we started on as a focus category more than a year ago. So we're going to continue to innovate both on the existing ones that are there and launch new ones like we did with jewelry this quarter.
Operator: Your next question is from the line of Doug Anmuth with JPMorgan. Your line is open.
Doug Anmuth: I just want to follow up on focus categories and ask about the vault, which recently launched. I know it's early, but just curious how consumer reaction has been so far and what engagement has looked like and just how you're thinking about kind of monetization there going forward.
Jamie Iannone: Yes. So it's early days, as you said, but we're excited by the initial feedback from the early customers. So it's having the intended impact, which is giving them a frictionless way to buy and sell on the platform to encourage sellers to use it because, obviously, there's a first-mover advantage. We think once the product is in the vault. It's unlikely to move to a different vault or there can be withdrawal. So we reduced fees through the end of the year on things like storage and selling fees in order to encourage adoption. And we're kind of right on track with where we thought. We're going to continue to innovate, add more categories and add more products over time, but a good early start to the program.
Operator: Your next question is from the line of Colin Sebastian with Baird. Your line is open.
Colin Sebastian: Good, of course, to see the progress here on the platform. Jim, I know you've been asked this before, but just reflecting on the past quarter, last few months, do you think the marketplace is benefiting all from consumers trading down a bit just given the pressures on the pocketbook right now sort of that countercyclical benefit? And then, Steve, you mentioned growing awareness on the platform. And I'm just curious how you're evaluating that. Is there data you're looking at in things like traffic to the site or other signals that might not yet be showing up in volume monetization that we might expect to see down the line a bit?
Jamie Iannone: Yes. So on the first one on the kind of countercyclical, I'm really happy we refocused the strategy towards non-new and season 2.5 years ago because it is -- we're leaning into opportunities of where the consumer can be and makes the platform more resilient. So we are seeing strength in things like our refurbished category where consumers can trade down. And frankly, just the value of eBay of having non-new and season makes the platform a little bit more resilient. Over time as well selling is important in tough times for consumers because, as I've said all along, they've got $4,000 of stuff in the house that they could sell, and they -- less than 20% of that is online. So we're essentially working to kind of lean into both. On your question on awareness around our spend, we do look at everything, buyers traffic and seller. But 1 thing we measure pretty religiously is kind of initial consideration of what we're doing. So what you see us do is shift from doing a lot of lower funnel to more full-funnel marketing. I think about us being at the New York parts, Joe, what we're doing in collectibles with the MLB All-Star games. Next week, you'll see us launch a program in the U.K. with Pimp My Ride, which is really focused on our parts and accessories and being where enthusiasts are. And what we're really doing there is focusing on eBay and initial consideration set and really talking about the value propositions that we're building through focus categories. And what I'd say is we're excited about the initial results and the early movements in ICS in the campaigns that we're running.
Operator: Your next question is from the line of Stephen Ju with Credit Suisse. Your line is open.
Stephen Ju: So Jamie, trading cards have -- obviously, we received all the investor attention perhaps within collectibles, but is there anything you can highlight in terms of other potential collectibles categories where you can start bringing the higher focus and perhaps the vault offering, maybe stamps or corns or comic books or other things and what the potential size of some of those other categories might be? And I guess, secondarily, on KnownOrigin, I guess, granted this is definitely one for the mid- to longer term, but it's our understanding that there have been platforms out there that allow for trading of digital goods, primarily probably more with video game and in-game items. And those have been in existence for some time, and this seems to have been an area where eBay has really never felt the need to participate. So why is now the right time to enter this vertical?
Jamie Iannone: Yes. So I'd say a couple of things. First, on the collectibles business, yes, we've leaned in a lot to trading cards because of the opportunity that we see in that market. But if you go back to Investor Day, where we size the collectibles business, it's over a $10 billion category. So there's lots of different elements in there and, frankly, lots of different elements geographically. So there's things stronger in our U.K. and German business where trading cards is more of a U.S. phenomenon from that perspective because collecting is interesting regionally, although there is a good amount of cross-border trade when it comes to collectibles. So we're going to continue to invest in collectibles and broadly as a category. On KnownOrigin, it's really -- a key part of that is the talent that we're bringing in. If you look at the team there, they're really the founding -- some of the founding pioneers and the early work around NFTs and digital. And so bringing that directly into eBay, I think, really helps us as we think about the intersection of physical and digital, some of the pieces that Jordan outlined at Investor Day because eBay has been always the place where people go to collect things. And so being able to figure out how to bring them on to the platform, I think, is a key advantage. I'd say it's really early days, but I think we found a great amazing team that we're integrating into the business.
Operator: Your next question comes from the line of Eric Sheridan with Goldman Sachs. Your line is open.
Eric Sheridan: Going back to the Analyst Day, you guys talked about the ability to continue to sort of innovate around the marketing platform for yourselves over the medium to long term. Any update on how you're thinking about advertising solutions continuing to innovate and change on the platform for sellers? And how we should be thinking about investments versus the cadence of rollout of some of those potential products in the quarters ahead?
Jamie Iannone: Yes. And I assume when you mean advertising solutions, you mean what we're doing to bring traffic to the site, not the advertising product on the site. So on the marketing side, yes, we've absolutely been doing a shift both kind of moving more towards mid-funnel, going after more paid social younger demographics in terms of what we're doing with TikTok and those types of programs. And we've been enhancing what we're doing from a marketing perspective, rolling out a new marketing technology, we call it user experience platform, to help us be much more efficient with that. As it relates to specifically to sellers, I'd point to 2 things. First is the investments that we're making in external Promoted Listings. So having sellers that are in our Promoted Listings product, be able to generate specific traffic to their business. And then the second thing is all the work that we've done over the last probably 18 months around eBay stores, about letting them build the brand in the marketplace, about letting them incorporate videos into their experience, around letting them spend coupons to interested or repeat buyers in the platform because we see this twofold. One is being able to drive traffic there but also helping them drive their repeat business on eBay, which is why we've been making those investments. Also, we think it's really critical to our second pillar being the seller platform of choice. So we're going to continue to push forward on those types of innovations on behalf of our sellers.
Operator: Your next question is from the line of Tom Champion with Piper Sandler. Your line is open.
Tom Champion: Jamie, it sounds like you're seeing steady send out of the active buyers. Just curious how you grade your ability to migrate mid-tier buyers more into the active category. And then, Steve, to cherrypick one macro factor, curious if you could talk about the recent decline in gas prices. And maybe any moderation in inflation? Curious if you're seeing any demand elasticities here as potentially inflation moderates in some areas.
Jamie Iannone: Yes. So we're excited by what we're seeing in terms of spend per buyer. So we -- if you look at -- versus 2019, our spend per buyer for enthusiast buyers are actually up double digits. And that ties right into what we're doing from a focus category strategy. The second thing that we're really focused on is that multiplier effect that we talked about at Investor Day, the fact that watches buyer will come in and spend $8,000 in watches, but $9,000 in the rest of the site, a parts buyer will buy $500, but then buy $700 outside of that. And that helps us drive the strategy around what we -- what we're going after with enthusiast buyers and spend per buyer. It's also why we changed our marketing programs to be much more targeted at acquiring enthusiast buyers. Steve, do you want to cover the second one?
Stephen Priest: Yes. Of course. Tom, Nice to speak to you. What I would say is we are a truly global business with size and scale, Tom. And obviously, as we think about the globe, the impact of cost order that I've talked about, particularly our got Chinese, think about Europe being more significantly here with energy prices, particularly associated with gas prices going up. And so your point about slightly moderating gas prices perhaps over here, a lot of choppiness on inflation. We're not seeing anything in particular would identify any changes to what we've laid out.
Jamie Iannone: Yes. I'd just add that when I talk to our eBayers in Germany and U.K., they get their gas bills twice a year, in some cases, once a year. And definitely, there's the impact there of that. And I think that's part of why we see a bigger impact on our European business than we -- our international business than we do in the Americas.
Operator: Your next question is from the line of Lauren Schenk with Morgan Stanley. Your line is open.
Lauren Schenk: Great. I just wanted to ask about the marketing has been in the quarter was sort of higher than, I think, we were all expecting. Just how do I marry that with maybe the weaker-than-expected customer net adds as well? And then how you're thinking about marketing somewhat broadly in the back half of the year? Is that somewhere that you would pull back if the macro does deteriorate further?
Stephen Priest: Lauren, I'll pick that one up. It's really a function of seasonality when you sort of look at where we are. And I think I'd bifurcate the two. One is the marketing spend, which is a function of season by quarter. And then secondly, when I think about buyers, it's a trailing 12-month metric. Obviously, we're lapping through the pandemic from last year. We're dealing with a sort of greater macro environment. So we bifurcate the two and so there's nothing specific that I'd point to in terms of the linkage between the two areas.
Operator: Your next question comes from Justin Post with Bank of America. Your line is open.
Justin Post: The revenues are definitely 4 points better than GMV in the Q3 guidance. How do you think about that differential as payments ramps up towards 100%? And can you maintain a nice differential there looking forward after 3Q? And then the second question -- just hedging looks like it's helping a little bit this year. How much is it helping? It might be in some disclosure, I didn't see. And is that going to be helpful in '23? Or is there a time frame that we should be thinking about hedging helping you?
Stephen Priest: Justin, I'll pick those up. So I'm really pleased with the level of execution that we've seen both in terms of our ads business and payments business. And so as Jamie alluded to in his prepared comments, we're seeing a 20% delta between advertising and volume in the second quarter. And the payments team has done a tremendous job executing items like Buyer FX, additional forms of payments that continue to add potential for the revenue side to eBay. We are sort of lapping through as we're coming off the back of the payments migration that was completed in quarter 4 last year. So we are seeing some of the upside around that. But if I reflect on the second quarter, we had about an 8-point delta between GMV and revenue pretty much split evenly between advertising and payments, a little bit more pressure going forward as we see lap to that dynamic. With regards to your questions around hedging, the team did a very nice job of obviously hedging OI and EPS. Our GMV, obviously, is unhedged. And we are seeing pressure because of the strength of the dollar versus sterling and euro over recent months. And that's why you've seen an implied $500 million impact on our GMV guide at a spot rate as we've gone forward. But the teams diligently work hedging OI and EPS as we go forward. And we go quarter by quarter, year by year. I'm not sure that we get the balance side as we do that.
Operator: Your next question is from the line of Deepak Mathivanan with Wolfe Research. Your line is open.
Unidentified Analyst: This is Zack [ph] on for Deepak. Just curious on your ad business. You saw some reacceleration in the quarter. Just curious for an update on some of these newer product initiatives, Express and Advanced. Kind of can you just give us an update there in terms of adoption? Is this kind of a key driver of the reacceleration? Or is it just still kind of broader adoption of the standard Promoter listing product? And then second, on the kind of monetization of some of your investments. Just curious for how you're thinking about the Adevinta stake here. You've been kind of monetizing some of the other assets over the past couple of quarters. I know a good chunk of it is kind of locked up until end of next year, but just kind of any updated thoughts and philosophy on the Adevinta specifically?
Jamie Iannone: Yes. So first, on the Ad Business Act, we tend to provide a really good rollout for our sellers. So there's still a lot of penetration opportunity in our Promoted Listing standard product and driving incremental adoption for more sellers across more listings, et cetera. But we're pleased this quarter to really start seeing some traction in our newest products. As I talked about on the call, our newest products are up 30% quarter-on-quarter, which is great to see. This will lead to Promoted Listings that's double digit in the coming quarters. And I just -- of the 3 new products, I'd highlight Advanced, I think, as a significant opportunity for us because of the monetization that it provides and because we still have a good ways to go in terms of driving adoption on the platform. I'd just say it's a continual dial and frank in terms of optimizing the buyer experience, the tools that we have and the algorithms to make sure that we're not degrading buyer experience. We're enhancing it and continue to provide a return on ad sales. But I'm happy to see the 1.5% penetration we got to this quarter. And like I said, the future quarters should allow us to drive double-digit growth. Steve, do you want to take the second one on...
Stephen Priest: Absolutely. So we continue to be very balanced and thoughtful about capital allocation. We've got a long track record of creating and maximizing long-term shareholder value as we've gone through that. As you're probably aware, in the second quarter, we divested some of our holdings in Adyen and Kakao. Specifically, with regards to your question around Adevinta, we have 33% stake. Indeed, 25% of that is tied up until later in 2023. We continue to reflect on our investments, whether we believe we can generate incremental value in the short term by selling them or holding on for a little longer to continue to drive that shareholder value. So we reflect on all of our investments. We'll be very diligent about how we think about it to ultimately drive long-term shareholder returns.
Operator: Your next question comes from the line of John Blackledge with Cowen. Your line is open.
John Blackledge: Two questions. First, on eBay Live, could you kind of discuss the early learnings engagement and how we should think about this program ramping as we head towards the fourth quarter and the holiday season? And then secondly, a follow-up on advertising. You've mentioned Promoted Listings reaccelerating to 10%-plus growth. Any update there on timing for when it gets back to double digits?
Jamie Iannone: Yes. So on eBay Live, our live shopping pilot, I would say it's early, John. We're kind of in the test phase of that. And it's really about learning about how eBay engages the best way to get customers engaged. I would say from our early test that we're excited by what we saw both in terms of the time people were engaged, to engage 15 minutes in a video, especially with today's attention span of consumers, and the interaction. We had a quarter of people like interacting with the experience. So we feel really good about what it can be. As you've seen from a macro standpoint, it's had a lot more traction in the Asia region than it has here. It's still much more of a nascent technology, but first as well with some of the categories like some of the other pilots that we have. So I'd just say very early testing and learning at this stage. On advertising, what we talked about is getting to a double-digit growth in the coming quarters, and we feel comfortable about our plans to do that really on the strength of our core product and standard and on the growth that we're seeing out of our new products.
Operator: Your next question is from the line of Lee Horowitz with Deutsche Bank. Your line is open.
Lee Horowitz: You guys laid out, I think, some helpful and ambitious long-term targets for GMV growth at your Analyst Day. I guess how do you think about how the current macro environment impacts the timing by which you guys look to achieve these goals? And then maybe on parts and accessories specifically, can you provide any update on how the playbook is rolling out across this category? Have you started to see the return on investment, whereby you're getting accelerated growth across these categories given what you've done over the last couple of quarters in parts and accessories?
Stephen Priest: Lee, I'll take the longer-term plan question. We obviously updated the market at our Investor Day back in March, and our long-term guidance remains unchanged. We are continuing to execute, whether it's through the focus category playbook, ads, payments, building, broader trust on the platform and driving CSAT. So I'm really pleased what we've been seeing quarter after quarter and the levels of execution that we're seeing with the team. Undoubtedly, we are navigating a particularly challenging macro environment, which we believe is transitory. And so the way that we think about this is a duration and the severity of the current macro environment will really point to the timing to the medium-term proportion in GMV, but we continue to be very aligned and confident about the long-term trajectory that we laid out on our Investor Day, specifically to do with parts and accessories, Jamie?
Jamie Iannone: Yes. We're really pleased with what we're seeing in terms of the rollouts on parts and accessories. I'd say both from a marketing standpoint. So we're getting aggressive in our key markets about driving an initial consideration set. I talked earlier about some of the stuff we're doing with sponsorship of Pimp My Ride. We did the same thing with eBay Auto Parts Show in New York. Those types of things led to 3 billion media impressions for us from that standpoint. And as I talked about, really going after that enthusiasts, leaning into things like I was just out in our European markets. And their certified green parts are incredibly important, and we continue to add more of that supply onto the marketplace. And then secondarily, I'd just say on the product side, improvements in fitment, improvements in the organization of the inventory and the collaboration is important. We enhance some of the AI that powers our search and our merchandising and our advertising really around this idea of fitment and how to make sure that we have 100% trust and the fitment on the product. So we're excited about what we're seeing and the results, the movement that we're seeing in initial consideration set. And we're not going to be done. This is going to be a category that we're going to continue to innovate on quarter after quarter.
Operator: Your final question comes from the line of Richard Kramer with Arete Research. Your line is open.
Richard Kramer: Sorry, I was on mute. Jamie, my question is as follows. I'm a little surprised by the comparisons to 2019. I guess my question is, are you looking back at the pandemic period and thinking that some of the changes that we saw in consumer behavior are now getting reversed? And given how much you've talked about focus categories, should investors expect a further retreat from general merchandise, especially given how difficult the economic backdrop is? And maybe one quick one for Steve. Could you reflect a little bit on the cost base and the execution culture at eBay? We've seen the live shopping is still in beta. Off-site ads are still in beta. It seems like things are taking time to get out to full general availability. Is it something that you think is requiring more investment in the short term and it's worth it just to make sure that you actually get some of these new initiatives up and running?
Jamie Iannone: Yes. So on the first one, part of the reason why we look at '19 is just the massive acceleration that we saw over the COVID time period and kind of comparing the pre and post with the massive restriction and mobility and the stimulus that was there in the market. Obviously, we believe we're definitely coming out of the pandemic much stronger than we came into it. And our strategy is working. To your question on focus categories, our focus category strategy is really focused on non-new and season. So we've kind of really moved away from new and season. You can still obviously buy it on the site, and we have that product. But we're leaning into where eBay is strong. If I go back to the Investor Day, it's a $1.1 trillion TAM growing to $1.4 trillion. And we think given the tougher economic times right now, our strategy of where we're focusing from that category standpoint is exactly where we need to be, and it's frankly a strength for eBay. Do you want to take the third one, Steve?
Stephen Priest: Yes. Richard, I'd make a few comments. First of all, I think on a broader cost structure, the teams have been incredibly diligent, particularly as we cycle through this macro environment. And that creates capacity for us to invest in the long term. And everybody at eBay is looking through that lens. Secondly, I really believe the pace of innovation is moving much quicker than it was prepandemic. We talked about the speed of innovation and focus categories and what we're doing there. Think about the execution and payments and the say-do ratio that we talked about at Investor Day and then the growth that we see in our advertising business. Thirdly, I would say that I'm delighted that Eddie Garcia is back at eBay, heading at the product organization and bringing his wealth of experience, years of experience to the team to really drive best-in-class products for us here. So we remain very optimistic about the future ahead of us, and I'm really pleased with the execution of the team.
Operator: Ladies and gentlemen, thank you for participating. This concludes today's conference call. You may now disconnect.